Operator: Good day and welcome to the First Financial Bancorp Fourth Quarter 2015 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Eric Stables, Director of Investor Relations. Please go ahead, sir.
Eric Stables: Thank you, Keith. Good morning, everyone, and thank you for joining us on today’s conference call to discuss First Financial Bancorp’s fourth quarter and full year 2015 financial results. Discussing our financial results today will be Claude Davis, Chief Executive Officer; Tony Stollings, Chief Operating Officer; and John Gavigan, Chief Financial Officer. Before we get started, I would like to mention that the press release we issued yesterday, announcing our financial results for the quarter and full year is available on our website at www.bankatfirst.com under the Investor Relations section. Additionally, please refer to the forward-looking statement disclosure contained in the fourth quarter 2015 earnings release, as well as our SEC filings for a full discussion of the company’s risk factors. The information we will provide today is accurate as of December 31, 2015, and we will not be updating any forward-looking statements to reflect facts or circumstances after this call. I will now turn the call over to Claude Davis.
Claude Davis: Great. Thanks, Eric, and thanks forth those joining the call today. Yesterday afternoon we announced our financial results for the fourth quarter and for the full year of 2015. And before I turn over the call to Tony and John to discuss our results, I wanted to recognize the outstanding effort of all of our associates who made our success possible and their hard work resulted in a strong 2015 as we celebrated our one year anniversary of being in the (Inaudible) Ohio market which has performed well about our expectations as well as the completion of the Oak Street acquisition which we think along with our franchise finance business gives us a great alternative to our core community banking markets in two nationwide lending platforms. And finally, we had great results in producing a 15% year-over-year net income growth. Overall, I continue to be pleased with the progress we make in building a company that can consistently and responsibly produce top quartile results. I believe that our company is well-positioned to grow organically with mid-to high single-digit annual growth rates, as well as continue to take advantage of acquisition opportunities when they develop and meet our strategic objectives. And with that, I want to turn the call over to Tony. 
Tony Stollings: Thank you, Claude. Net income for the quarter was $19.8 million, an increase of $1.2 million or 6.6% over the fourth quarter last year. Earnings per diluted common share were $0.32, with return on average assets of 0.99% and return on average tangible common equity of 12.98%. Excluding approximately $1 million of pretax non-operating expenses, which were primarily related to severance benefits accrued during the period, net income was $20.5 million or $.33 per diluted common share. Return on average assets was 1.02%, and return on average tangible common equity was 13.4%. Net income for the full year was $75.1 million, an increase of $10.1 million or 15.5 % over the prior year. Earnings per diluted common share for the year were $1.21, with return on average assets of 1% and return on average tangible common equity of 12.66%. Excluding approximately $5 million of pretax non-operating expenses, primarily related to severance benefits, expenses related to the acquisition of Oak Street, and adjustments to reserves for litigation related items, net income was $78.3 million, or $1.27 per diluted common share. Return on average assets was 1.04% and return on average tangible common equity was 13.2%. Consistent with our comments over the last few quarters, we continue to see good opportunities to organically grow our balance sheet, with competitively priced high-quality loans and low-cost core deposits. End of period loans increased by approximately $173 million or 13% on the annualized basis compared to the linked quarter, exceeding our long-term expectations of mid to high single-digit growth. Average loan balances increased $212 million, or 17% on an annualized basis during the period, despite more than half of our period end loan growth coming in the final week of the quarter. End of period deposits increased by $98 million, or 6% and average total deposits increased by $287 million or 19%, both on an annualized basis, compared to the linked quarter, with strong quarter over quarter growth in non-interest-bearing and interest-bearing demand accounts. Our overall cost of interest-bearing deposits was unchanged from the linked quarter at 42 basis points. Loan origination pipelines particularly in our metro markets and especially finance businesses remain strong and we head into 2016 with positive momentum. A client relationship centered strategy, broad product offerings strong cross-sell culture continue to produce sustainable growth. New growth opportunities have also been driven by reason market disruptions here and we expect them to continue. Turning briefly now to Oak Street, the acquisition was expected to be immediately accretive to operative earnings. Consistent with those expectations, for the fourth quarter, Oak Street contributed approximately $0.04 per diluted common share. We remain very optimistic about Oak Street for long-term growth potential and product line expansion opportunities. And while we may from time to time highlight their strategic developments, they are now fully integrated into our performance metrics and as a result, we do not intend to highlight their individual line of business contribution going forward. With that, I will now turn it over to John for further discussion of our operating performance. 
John Gavigan: Thank you, Tony, and good morning, everyone. Net interest income for the fourth quarter was $66.1 million, an increase of $2.9 million, or 4.6%, when compared to the linked quarter. A strong organic loan growth was complemented by the full quarter’s the impact of the Oak Street -- of the acquired Oak Street loan portfolio and was also impacted by a full quarter of subordinated debt. Primarily driven by the same two factors, net interest margin was 3.69%, on a fully tax equivalent basis, compared to 3.67% in the prior quarter. The effective yield earned on the loan portfolio increased 10 basis points from the third quarter to 4.62%, primarily as a result of the higher yielding Oak Street loans. The effective yield earned on the securities portfolio increased five basis points to 2.44%, benefiting from reinvestment mix into higher yielding securities in recent periods. Non-interest income for the fourth quarter was $15.8 million, declining 22% compared to the linked quarter, with the most significant driver being a $3 million decrease in accelerated discount on covered and formerly covered loans as the number of size and loans that prepaid during the period declined. Other fee income sources also contributed to the linked quarter decline, as client derivative fees came down from the exceptionally strong performance in the third quarter and gain on sale of mortgage loans was impacted by seasonal and other industry factors. Additionally, distributions from our limited partnership investments and gain on sale of securities also declined from the third quarter. Non-interest expense decreased $1.7 million or 3% from the prior quarter to $51.3 million, primarily related to $4 million of acquisition related and other non-recurring expenses during the third quarter, partially offset by higher incentives, severance, healthcare, and OREO related costs during the third quarter. Turning to asset quality, we are again pleased with our credit team’s efforts and the resolution activity that occurred during the quarter, as total nonaccrual loans declined 22% during the period. While accruing TDRs increased 43% and classified assets increased 3% during the quarter, these increases were primarily related to the downgrade of a single performing commercial loan relationship on which First Financial expects to receive all contractual principal and interests. Consistent with our overall credit performance, the allowance for loan losses plus the remaining purchase accounting marks on acquired loans, net of the indemnification asset as a percentage of total loans declined to 1.11% as of December 31, from 1.17% at September 30. We remain well reserved against potential credit losses. On capital, the company’s regulatory capital ratios declined moderately during the fourth quarter, reflecting the strength of our asset generation efforts during the period and are now at or near our publicly stated targets. In the years since our 2009 FDIC assisted acquisitions, we have methodically and deliberately managed into our capital structure through strong growth both organic and by acquisition the variable dividend and share repurchases. Additionally, our capital ratios also reflect the natural shift from lower risk weighted covered assets to higher weighted uncovered assets over time. Our capital position remains strong and in combination with our earnings will continue to support our organic growth going forward, as well as consideration of other strategic opportunities, should they develop. Overall, we are pleased with our 2015 results and in particular, our ability to grow earnings through the combination of strong organic loan growth, the Oak Street acquisition, higher fee income, and a continued focus on efficiency. Turning our attention to 2016, we look forward to the challenges and even greater opportunities ahead. In regards to the loan portfolio, and as Claude mentioned earlier, we continue to target mid to high single-digit loan growth for the year. On fee income, we expect a decline in accelerated discount income on covered and formerly covered loans, as that portfolio continues to run off. As evidenced in our fourth quarter results, accelerated discount can very period to period based on customer behaviors. Ultimately, it’s a matter of timing as we will recognize these discounts either through interest income, if the borrowers continue to pay as agreed, or to non-interest income, should they choose to prepay. Conversely, we remain optimistic about the growth opportunities across our other fee income sources. With respect to expenses, we expect to maintain a relatively stable expense base for the year, by pursuing additional efficiencies in our service delivery to offset continued investment in our business. We believe the approximately $50 million adjusted noninterest expense total from the fourth quarter represents a reasonable indication of our quarterly operating expense base for 2016, with some modest seasonal factors anticipated in the first quarter. With regard to net interest margin, we expect first quarter 2016 margin to remain relatively consistent with the fourth quarter, so it remains dependent on production mix and prepayment activity. Our focus remains on growing net interest income dollars by continuing to grow loans at risk appropriate returns and growing low-cost core deposits. On interest rates, we do not project future rate changes in our planning process. However, I will note that our interest rate risk modeling indicates we are slightly asset sensitive under slow and modest short-term rate increases. On taxes, we expect an approximately 33% effective tax rate for 2016. And finally I will note that the first quarter is typically impacted by a number of seasonal factors that affect both income and expenses and that should be considered in establishing quarterly estimates. This concludes my remarks and I will now turn the call back over to Claude.
Claude Davis : Great. Thanks, John. And Keith, I think we can open the call for questions now. 
Operator: Yes. Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Scott Siefers of Sandler O'Neill & Partners.
Scott Siefers - Sandler O'Neill & Partners:
. :
Claude Davis: Hi, Scott. 
John Gavigan: Good morning, Scott. 
Scott Siefers - Sandler O'Neill & Partners: Okay, John. Maybe this first question is for you, you suggested that the most volatile line in the fee base that accelerated discount will likely be, if I interpreted it correctly, will likely be down year-over-year in 2016, are you able to give any more color on kind of potential order of magnitude just because of the couple of million dollars swing that it can have sort of quarter over quarter? Is there any way to kind of capture how high or low you think you can go just given the size of total remaining balances?
John Gavigan: Yes, Scott. I mean it’s obviously tough to predict borrower behavior there, but I think based on our best estimates, we don’t think the fourth quarter is necessarily indicative of a new run rate. If you look at the earlier quarters in 2015, second and third quarters, both included some significant prepay activity on some covered or formerly covered franchise credits there. We don’t necessarily expect that to repeat. So if you kind of look at fourth quarter versus the earlier quarters and somewhere in the middle is probably a decent indication of what we expect for 2016. But again, tough to predict borrower behavior there. 
Scott Siefers - Sandler O'Neill & Partners: Okay. Yes and I understand, but that’s – that’s kind of narrowing it down a bit is helpful nonetheless. So, thank you. And then second question was just on the margins, so as I looked at it, it came in maybe a little better than I thought and I think than you guys had suggested as well. So maybe John if you could give a little bit of what you thought the big puts and takes were because the only noise was the full quarter inclusion of Oak Street, but it sounds like now that that’s fully embedded in the run rate, still expecting the margin to hold firm which is the favorable delta relative to how the organic margins have been behaving last year, so maybe your thoughts on sort of the major drivers in the fourth quarter? And then to the extent you can give any glimpse out beyond the first quarter that might be helpful as well please?
John Gavigan: Sure, Scott. In the fourth quarter, I think you know the major puts there, it was really the full quarter’s impact from Oak Street, as well as the full quarter’s impact from sub debt, and those were largely as expected, some on the production mix and fee volatility came in relatively in line with our expectations. I think if you look back last quarter, we had guided towards stable, but probably plus or minus few basis points and I’d say we came in line with that. Going forward, obviously, Oak Street and sub debt are now baked into the quarterly run rate. We’ll see here in the first quarter the full impact of the December rate hike that should help close the spread between new originations and payoffs, though I don’t know that it entirely closes that gap there, we’ll get some lift on the portfolio, on the balance of the portfolio on floating-rate loans there. So we expect that to be, as I noted in my interest rate sensitivity comments there, modest positive there. So, again, it really comes down to what’s the production mix and prepayment activity during the quarter. 
Claude Davis: And this is Claude, Scott. I would also add I think just we’re a little, I’d say, cautious just given the market volatility and what’s going on with the rate curves. And so and we are cautious about going too much further than the first quarter.
Scott Siefers - Sandler O'Neill & Partners: Yes. Okay. Fair enough. All right. That’s good color. So thank you very much, guys.
Claude Davis: Thanks, Scott.
John Gavigan: Thanks.
Operator: Thank you. And the next question comes from Emlen Harmon with Jefferies 
Emlen Harmon - Jefferies: Hi, Sgood morning, everyone.
Claude Davis: Good morning, Emlen.
John Gavigan: Good morning. 
Tony Stollings: Good morning.
Emlen Harmon - Jefferies: I think it is the last quarter that you are going to give us kind of what the Oak Street contribution was, on just kind of one last (Inaudible) on what we should expect for 2016, you said $0.04 this quarter, is that a fairly representative run rate in terms of what you think they are going to be able to do on a quarterly basis, so do you feel like that was maybe high or depressed for any particular reason?
Tony Stollings: Hi, Emlen. This is Tony. I think Oak Street, when we made the original announcement, we had modeled their contribution at that time of $0.16 to $0.20, and they’re coming, they are tracking on that. At this point, we don’t see any reason to change that. So, I’d say the meeting expectations right now. 
Emlen Harmon - Jefferies: Got it. Okay, thanks. And then you guys have started to utilize the share buyback a little bit more the last couple of quarters, is that something we continue to see next year, and just kind of how are you thinking about how you deploy that, are you trying to be opportunistic? I know the capital stack is a little thicker now that you’ve got the sub debt in there, does that change your appetite at all? Just kind of curious on your appetite for the buyback.
Claude Davis: Sure, and this is Claude. The board looks at it every quarter, so we were taking a look at that as well as the kind of other capital options. I would say at this point it’s not likely, at least in the next quarter or two that you’ll see much on the repurchase side mainly due to the strong organic growth that we are seeing and as Tony kind of mentioned in his script the really strong late fourth quarter kind of growth. So we want to be cautious and make sure that we preserve that capital for our growth opportunities both organic and acquisitive. So I don’t see a lot right now happening in the repurchase area.
Emlen Harmon - Jefferies: Got it. All right. Thanks for taking the questions.
Claude Davis: You bet. Thanks.
Operator: Thank you. And the next question comes from Jon Arfstrom with RBC Markets. 
Jon Arfstrom - RBC Capital Markets: Good morning.
Claude Davis: Good morning, Jon.
John Gavigan: Good morning, Jon.
Tony Stollings: Good morning. 
Jon Arfstrom - RBC Capital Markets: Just a follow up on that loan question, maybe for you Tony or Claude, just talk a little bit about the late fourth quarter growth if there is anything unusual there broad-based, give us your thoughts as to why it happened late in the quarter?
Claude Davis: This is Claude, Jon. It was across multiple business units which is a positive and I don’t know that I could pinpoint at anything macro driven other than just several different things lined up that caused them to close literally in that last week to two of the quarter. And we also have some we carry over into January. Nothing of note other than it was across the board and I think activity in general in the fourth quarter was strong, but particularly strong late.
Jon Arfstrom - RBC Capital Markets: Okay. And it looks like some of this when I look at the period end balances is commercial real estate and construction, can you just give us your thoughts on the health with that business in your markets? 
Claude Davis: Yes. I mean we had some we’ve been talking most of the year about, we’ve seen strong construction demand, some of that funded up – started to fund up some more in the fourth quarter, so we saw some of that. I would say late in the fourth quarter, we saw as much on the C&I side across Oak Street franchise in core C&I business. Some of that can show up in the real estate line, because it may be owner occupied real estate, that’s a part of that package that we may do for a particular company. So, what we noticed is that it was a pretty good blend or mix between real estate or commercial real estate, or investment commercial real estate in C&I along with the owner occupied. As it relates to the question on the health of the commercial real estate market, it continues to be strong. We see lease-ups happening as modeled or better than model, we continue to see the permanent market taking kind of loans out earlier than we’ve ever experienced. So at least to this point, we’ve seen a pretty strong and healthy market and obviously, it’s by sub category, so there are certain categories that still are soft that we don’t do a lot of blending into, but those that we have been continue to be solid.
Jon Arfstrom - RBC Capital Markets: Okay. That’s helpful. And then, John Gavigan, just a quick question, I appreciate all the help on the modeling and expectations. You talked a little bit about Q1 seasonal factors, I’m assuming you’ve seen a little bit higher comp, maybe little lower service charges and possibly mortgages that are both the items you are referring to, is there something else?
John Gavigan: Yes. Those items you mentioned as well as fewer days in the quarter.
Jon Arfstrom - RBC Capital Markets: Okay. All right. Okay, that’s it. Thank you.
John Gavigan: Thanks, Jon.
Claude Davis: Thanks, Jon.
Operator: Thank you. And the next question comes from Erik Zwick with Stephens, Inc.
Erik Zwick – Stephens, Inc.: Thanks. Good morning, gentlemen.
Claude Davis: Good morning.
John Gavigan: Good morning. 
Erik Zwick – Stephens, Inc.: With regard to the severance expense that was recorded in the quarter, I’m curious, is that related to general year-end trimming or was there a particular business line that had some room additional efficiency improvements?
John Gavigan: No. It was just general activity, it was not related to Oak Street, so just things that happen over the course of the year.
Erik Zwick – Stephens, Inc.: Thanks. I’m curious if you could provide a little more color on that one commercial loan that was added to the classified bucket, was there a particular industry or a borrower situation that that led to the downgrade there?
Claude Davis: Yes. It was a specific borrower situation that we think is just a short term issue, but it did impact current performance and we felt that it needed to be identified as a TDR and managed appropriately. But as John mentioned, we don’t expect to see a loss there and we think based on the current performance review that sometime in 2016, we will see that credit improve and be potentially upgraded. 
Erik Zwick – Stephens, Inc.: Great. And then, finally, you kind of mentioned you’ve been in Columbus for over a year, acquired Oak Street in 2015, I guess how do you view your desired balance between organic and acquisition growth today and how would you classify sellers expectations? 
Claude Davis: Yes. Our primary strategy has always been and our preferred strategy is always to grow organically and then to supplement it when it makes sense with the strategic kind of acquisition opportunity and I would say that’s still where we are, I mean our strong preference is to focus on organic growth. We continue to look at are there product line extensions that we could potentially take a look at, whether that’s in the lending space or in the wealth management area. And then on the whole bank side, we’re always having conversations, I think expectations are, I wouldn’t say have changed from where they were over the last year or two, and we look at them all based on what we think the right approach for us is in terms of market penetration or market expansion. So we think we are still on the good spot, continue to grow organically and if the right deal comes along, we’ll take advantage of it. 
Erik Zwick – Stephens, Inc.: Great. Thank you for the commentary.
Claude Davis: You bet.
Operator: Thank you. And the next question comes from Andy Stapp with Hilliard Lyons.
Andy Stapp - Hilliard Lyons: Good morning. 
Claude Davis: Good morning. 
John Gavigan: Good morning, Andy. 
Andy Stapp - Hilliard Lyons: Could you talk about any exposure to energy you might have?
Claude Davis: Zero to very limited, I mean that may be some tangential groups or areas that may have energy as a part of the client base, but nothing material at all. 
Andy Stapp - Hilliard Lyons: Okay. And what type of construction and commercial real estate were you finding I think for example multifamily, office, retail etcetera? 
Claude Davis: Yes, the bulk of it would be multifamily, healthcare and then that may be specific properties say in office category that may be a build to suit that we are helping to finance, but I would say the two largest categories we have seen have been more in the multifamily and healthcare spaces.
Andy Stapp - Hilliard Lyons: Okay. Great. Thank you. 
Operator: Thank you. The next question comes from Daniel Cardenas with Raymond James.
Daniel Cardenas - Raymond James: Just given how your capital levels have kind of trended back to where your stated goals are, how should we be thinking about your dividend payout ratio?
Claude Davis: Yes, Daniel. Our capital ratios have gravitated around our target levels that we’ve been public about and we continue to see an improvement in EPS. So, that’s obviously our payout ratio has declined as a result. What we tend to look at, as I mentioned earlier, we kind of review this every quarter with the board, is what’s our growth prospects first. And if we feel like we’ve got strong growth prospects, we’re going to retain the capital for that first and then if we’ve got excess capital that’s generated, then look at dividend or other growth opportunities. So at this point, we feel comfortable where we are both from supporting our growth as well as our current dividend level.
Daniel Cardenas - Raymond James: Okay, thanks. And then just in terms of competition, I’m sure competition remains intense, but are you seeing any wholesale changes in structural – on the structural side from your competitors?
Claude Davis: I wouldn’t say – pricing is probably the most significant part of the competitive landscape. I would not say wholesale changes on structure, I would say there are selective or individual transactions where we see that occur, but at this point, I would not suggest that it is wholesale at least in the categories where we are lending into. 
Daniel Cardenas - Raymond James: Okay. Great. And then one last question on the deposit side, just competitive factors there, or are you seeing any pickup in competitive factors as it comes to deposit pricing?
Claude Davis: I don’t think we’ve seen any pressure yet on the pricing side for deposits. So everybody seems to be staying pretty disciplined at this point. 
Daniel Cardenas - Raymond James: Okay. Great. Thanks, guys.
Claude Davis: Thank you. 
Operator: Thank you. (Operator Instructions) And the next question comes from Chris McGratty with KBW. 
Chris McGratty - KBW: Hi, good morning. Thanks for taking my question. 
Claude Davis: Good morning, Chris. 
Chris McGratty - KBW: Good morning. I’ve got a question on the investment yields that were kicking up last few quarters, could you elaborate in terms of what you’re buying and maybe what the current (Inaudible) was in the past few quarters?
John Gavigan: Yes. Specifically, in terms of what you’re buying, it’s not that different than what we’ve traditionally bought in the portfolio primarily, agency mortgage-backed securities, and CMOs as well as some private label CMOs and munis that are highly rated. We have taken advantage of our portfolio duration, had come down to the low threes we’ve gone out a little bit on duration, on the reinvestments to pick up some yield there. Overall, the portfolio duration is fairly short, a little under 3.5 years. We feel good about where we are at there. 
Chris McGratty - KBW: Okay. So that was the driver, do you kind of go (Inaudible) a little was the driver of the mix (Inaudible) is that right?
John Gavigan: Correct, correct.
Chris McGratty - KBW: And then, maybe if I could on the loan yields, obviously they are moving in the right direction, and I would imagine part of that is because of the deal, anything unusual in the 4.62% loan yield that’s in the quarter, what’s related to elevated loan fees or is this kind of decent barometer going forward?
John Gavigan: No, I would say nothing unusual there, as you said, it was largely driven by the higher yielding acquired portfolio and the full quarter impact. 
Chris McGratty - KBW: Got it. And then last if I could on the size of the investment portfolio, with similar sized, whether there could be dollars or proportion of earning assets still right way to think about the size of the balance sheet?
John Gavigan: Yes. I think dollar wise where we ended the year, I don’t see is necessarily increasing the size of the portfolio. Depending on our growth opportunities on the loan side, you could see the size of the portfolio migrate down a little bit during the year, it’s just one of those things that the balance on an ongoing basis depending on our growth opportunities. 
Chris McGratty – KBW: Great. Thank you. 
John Gavigan: Sure.
Claude Davis: Thanks, Chris. 
Operator: Thank you. And we have a follow-up question from Andy Stapp withHilliard Lyons.
Andy Stapp - Hilliard Lyons: Yes, thanks. Just to follow up on the commercial real estate lending, just wondering what type of cap rates you are seeing on the multifamily and office projects you are funding I’d say? 
Claude Davis: I would need to get back to you in terms of what the appraisers are using, obviously we get to that kind of full appraisal and appraisal review process. So we would need to get back to you on kind of specific there, but it is market based, I don’t have that number in front of me.
Andy Stapp - Hilliard Lyons: Okay, all right. Thank you. 
Claude Davis: You bet. 
Operator: Thank you. And as there are no more questions at this time, I would like to turn the call back over to for any closing comments. 
A - Claude Davis: Great. Thanks, Keith. And this Claude, again, thank everyone for participating in our call. Thank you.